Constantin Baack: Good afternoon and good morning, everyone. This is Constantin Baack, CEO of MPC Container Ships, and I'm joined by our CFO and Co-CEO, Moritz Fuhrmann. Welcome to our Q3 2025 earnings call. Thank you for joining us today to review MPC Containership's third quarter and 9 months results for 2025. Earlier today, we issued stock market announcement covering our Q3 results for the period ending September 30, 2025. Both the release and this presentation are available in the Investors section of our website. Please note that today's discussion includes forward-looking statements and indicative figures. Actual results may differ materially due to risks and uncertainties inherent in our business. Before diving into Q3, let's briefly reflect on the first 9 months of the year. We are pleased to report another strong quarter, underscoring the resilience of our business amid ongoing macroeconomic and geopolitical uncertainties. Despite regulatory shifts and unpredictable trade policies, the container charter market and asset values remain firm. Time charter rates held up well, secondhand demand stayed strong and idle capacity remained low. While the global order book is elevated, constrained supply in the small to midsize segment and aging fleet as well as shifting trade patterns support a favorable balance. Volatility remains so we do not expect smooth sailings ahead. We focus on what we can control. Continued disciplined fleet modernization, forward fixing at attractive rates and periods, increasing coverage, maintaining a strong and flexible balance sheet as well as strong investment capacity. Our disciplined capital allocation approach has delivered strong returns and dividends, and we remain committed to sustainable shareholder value. Looking forward, we see opportunities to selectively divest, invest and grow, leveraging favorable market conditions while staying agile and focused on long-term value generation. We'll explore these themes in more detail during the presentation. And with that, I would like to hand over to Moritz.
Moritz Fuhrmann: Good morning, everyone, and also welcome from my side to MPCC's earnings call for the third quarter of 2025. Our agenda for today starts with a review of Q3 highlights, after which we will spend some time on the current market dynamics and the outlook for the remainder of 2025. Starting with the highlights on Slide #3. We continue to see a very strong quarterly performance based on revenues $126 million and adjusted EBITDA for the third quarter of 2025 of USD 75 million. As a result of the very good financial performance, the Board has declared the company's 16th consecutive dividend with $0.05 per share, basically representing 50% of the adjusted net earnings for the third quarter of 2025 and also being the upper end of our dividend payout ratio range. On the asset side and the fleet transition side, we continue to be very active as we handed over 3 previously sold vessels to the new respective owners, bringing the total to 10 vessels this year. And on the flip side, we have been equally busy on new building sites, and we're able to reinvest the sales proceeds by contracting so far this year, eight 4,500 TEUs and two 1,600 TEUs for a total consideration of around $525 million, bringing the total order book today to 11 vessels. The deliveries of the newly contracted vessels will start from the second half of 2027. And what is important to note, I think, is that all our new buildings have been ordered against very attractive long-term charters with durations of 3, 7, 8 and 10 years, allowing for very meaningful derisking throughout the fixed time charter period. While -- and I think that is important, at the same time, retaining significant upside potential during the remaining lifetime of the vessels. These transactions, we believe, are cementing our position in the market as the leading tonnage provider in the feeder segment and also underscoring our strategic importance and our relationships with the top-tier liner operators. Our newbuilding activity is also a result of the current positive market momentum, mostly reflected in our most recent chartering activity, we have forward fixed in total, 11 vessels through 2 distinct on blocked deals for durations between 1.5 and 2 years, and at rates between $17,000 and $23,000 per day, obviously, depending on the vessel size and forward delivery window, adding significant average -- a significant coverage into 2028. And the total revenue backlog increased quite sharply, now standing at USD 1.6 billion. And also as a consequence, our open days coverage has increased quite meaningful. So we are now 92% and 55% covered for '26 and '27, respectively. Needless to say that 2025 is fully covered at 100%. Looking ahead into the remainder of 2025, and as the market remains very dynamic. We don't see, as of now, at least, any negative implication as a result of the most recent Red Sea announcement. In any case, we will continue focusing on further driving our fleet transition as well as retrofit program to improve the fleet composition and enhance long-term shareholder value. Based on the current market, we increased the revenue guidance to $500 million to $510 million and our EBITDA guidance to $330 million to $340 million. Turning to the next slide and looking at some of the KPIs for the third quarter, gross revenue and adjusted EBITDA came in slightly below previous quarter as a result of the remaining legacy contracts are running off now. The markets are very supportive and charter rates and durations are very strong. However, not at levels we have seen in 2021 and 2022. From a balance sheet perspective and despite having drawn under new senior secured facilities, the leverage ratio with 34.6% is only slightly up relative to last quarter, while the net debt position has decreased to USD 107 million, underlining the conservative balance sheet structure that we have today. And as mentioned before, on the right -- top right-hand side, the Board has declared a dividend of $0.05 per share, which will be paid in December this year. And the operational cash flow generation remains very strong with more than $225 million year-to-date. While the fleet utilization at the bottom right was unchanged at 97.6%, the actual OpEx increased slightly due to one-off nonrecurring items, and we expect a normalization trend for the next quarter. Looking at Slide #5. And I think, very importantly, focusing on the current chartering market as well, in particular, our activity. They recently were clearly evidencing a very strong whatsoever in activity by the line operators. In particular, we see very strong demand for feeder vessels. So actually, to the contrary, we see increased demand for forward fixtures at very strong levels. So contrary to the most recent noise that we have heard and seen around the container market. So looking at the left-hand side and going into the third quarter, we have had 32 open positions stretching into the first quarter of 2027. And in the last few weeks, we have proactively 2 distinct charter package deals fixed 11 of those vessels substantially reducing the open days going forward as we can see it. And the average forward picture that we've done on those transactions is around 12 months, with the longest forward position that we fixed being 14 months out. And the average duration is around 2 years, with very strong rates that are adding around $110 million to our revenue backlog through those transactions. And I think also important to mention all fixtures have been done with top-tier line operators. As the market remains elevated, we still have upside potential through 21 remaining open position starting from Q1, Q2 next year. However, we are already, as we speak, we're already being approached by charters on some of these positions and in line with our chartering strategy, meaning being conservative, we will try to fix also those vessels if we believe, of course, the offered rates and durations are a fair reflection of the current market. In any case, of the future chartering activity, our P&L has great earnings visibility and with a limited number of open vessels in the not-too-distant future, we are very much shielded from any adverse market development. And on the asset side, on the S&P side, we haven't concluded on any further asset -- vessel sales, but we see equally strong liquidity and demand on the S&P side. And we are currently contemplating further asset disposals as we have done in the past, and that would potentially mean materializing very firm asset values that are at least according to our numbers, implying NAV figures of north of NOK 35. On the next slide, we spend a bit more time on the investment side and in particular, our efforts on the fleet transition, where we have been very active ever since the summer this year. So after having ordered four 4,500 TEU vessels over the summer against the 3-year contract, we have recently announced 2 more newbuilding deals for 6 vessels, namely two 1,600 TEUs and another batch of four 4,500 TEUs against 8 and 10-year contracts with top-tier line operators, growing our total order book to 11 vessels. The additional investments follow our usual approach that we have also done in the past as we combine asset investment with cash visibility, providing significant derisking throughout the charter period. As you can see on the left-hand side of the graph, our yet outstanding CapEx commitments of more than $550 million are pretty much covered by the contracted EBITDA, essentially enabling us to realize significant upside value once the vessels are running off their initial charters, sort of vessels that we have contracted. They obviously have a staggered redelivery profile given the different charter durations. But on average, the vessels will be roughly 7 years of age at charter expirations and to put things into perspective, from a value perspective, the current age-adjusted FMV for these vessels is roughly $500 million to $550 million, i.e., a great combination of minimum residual risk while retaining maximum upside potential and what we believe will be a very constructive feeder market into the future. And in general, we have taken and will continue to take a very prudent approach to these investment cases to minimize residual risk. And I think the ability to structure and execute these transactions speaks for itself and it's, I think, a great testament to the importance of MPCC as a strategic partner to the top-tier liner operators globally. Needless to say that these investments are further milestones in our fleet transition efforts to which Constantin will speak a little later in the presentation in the outlook section. However, wanting to underline that we are confident that building an enhanced and future proof as a portfolio will support generating sustainable and long-term shareholder returns for our investors in the future. Turning to Slide #7. The cash flow -- the usual cash flow bridge. So cash flow in Q3, '25 was again dominated by good operating cash flow of $73 million. And on the investment side, we have paid down the first installments under our four 4,500 TEUs that we ordered over the summer against 3-year charters. In addition to the operating cash flow, we had around $50 million cash inflow through newly drawn senior secured debt that is secured against two 3,800 TEUs, and that facility futures a $250 million accordion option that is earmarked to fund further growth in the future. The overall positive cash generation substantially improved the company's cash position and investment capacity to around $420 million by the end of September. And in addition to the balance sheet liquidity, we retain further flexibility through our undrawn RCF. And lastly, by paying our 15th consecutive dividend in September in the amount of $22 million, MPCC continues returning capital to shareholders now north of 1 -- or still north of $1 billion has been distributed ever since we introduced our recurring dividend. And as the Board has today declared the next dividend, it serves, I think, is a very good testament that we will continue to reward shareholders through capital returns. Going to the next slide, we see MPCC's quite conservatively structured balance sheet. We have year-to-date executed on a number of measures, namely vessel divestments as well as drawing secured and unsecured debt facilities to improve the company's liquidity position and therefore, also the investment capacity as we face a, what we believe is needed, fleet-renewal. By the end of the third quarter, liquidity stood at around $470 million. However, pro forma adjusting for expected yard payments in the fourth quarter, MPCC has a pro forma implied liquidity of around $500 million, including a new upsized undrawn RCF that is currently in execution. In view of our fluid renewal efforts and newbuilding CapEx commitments, the corresponding investment capacity is absolutely essential for us. And at the same time, we managed to achieve this capacity without -- I think that is important without compromising the overall robustness of the balance sheet as well as flexibility of the balance sheet with a conservative leverage ratio of below 35% and with 28 debt-free vessels with a fair market value of close to $700 million. While gross debt stands at $550 million, and net debt adjusted for the pro forma liquidity remains very low, and the vessel portfolio that we have on the water with a charter-free market value of $1.5 billion provides additional comfort. Not surprisingly, the current newbuilding commitments will partly be funded through debt, which will be sourced in due course. And the initial discussions we have had with potential lenders indicate a very healthy appetite for more than feeder tonnage, secured by long-term charters. So once fully delivered, the company's gross debt is expected to grow. However, the expected additional leverage will be supported by the cash availability attached to our new builds. Going forward, we will ensure to use the investment capacity as prudently as we have done in the past by identifying and executing shareholder accretive transactions that help building a future-proof fleet. And all in all, MPCC remains very disciplined on the capital allocation side of things, as we have always done. On that note, I hand over to Constantin for the market update and outlook section.
Constantin Baack: Thank you, Moritz. I would like to continue with the next agenda point, the market update. Throughout the previous quarters, I noted that volatility is here to stay, and Q3 has confirmed that view. Looking ahead, I expect this environment of heightened uncertainty to persist not only through the remainder of the year, but well into the foreseeable future. Let me give you a quick overview of the 3 major themes shaping our outlook; geopolitical flash points, macroeconomic trends and regulatory uncertainty. First, trade tensions and protectionist policies are disrupting global supply chains. This means higher costs and longer lead times as companies diversify sourcing. Second, regional conflicts and sanctions are creating route volatility and increasing compliance risk. Sanction screening and due diligence are critical. Finally, strategic bottlenecks like the Suez Canal remain vulnerable to political instability and security threats. A single disruption can ripple across global trade. Recently, major liner companies have announced plans to cautiously resume Red Sea transits, starting with limited sailings before a full return. Normalization will likely be gradual as carriers balance security, insurance and network adjustments, potentially easing Cape route costs, but introducing short-term rate volatility. How and when this will be fully normalized remains to be seen. Looking at the macroeconomic picture, global GDP growth is projected to grow 3.2% in 2025, easing slightly to 3.1% in 2026. Growth is uneven, emerging. Asia remains the engine while developed markets slowdown. On trade flows, U.S. container imports are declining, but strong Asian export growth offsets this. Expect East West flows to remain robust, though rate volatility will persist. The IMO net zero framework has hit implementation setbacks, creating uncertainty around decarbonization pathways. We may see fragmented regional schemes emerge, adding complexity and compliance costs. So the big picture, geopolitical risk, macro shifts and regulatory uncertainties are converging, successfully depend on resilience, compliance and strategic agility. Let's move to the -- from the macro picture to the container markets in more detail. Please have a look at Slide 11. The chart on the left shows forward availability of vessels for the next 6 months. What can be observed is a tight supply environment with limited open tonnage in the short term. This reflects strong charter coverage and cautious fleet deployment by owners. The implication is that securing tonnage will remain competitive for liner companies supporting firm charter rates. The chart in the middle compares charter rates and freight rates over time. Charter rates have softened slightly from peak levels, but remain historically elevated due to constrained supply. Freight rates, while volatile, are trending above prepandemic averages, driven by network disruptions and lingering demand imbalances. Importantly, freight and charter rates have never been as decoupled as they are present, highlighting a structural disconnect between lineup profitability and vessel earnings. The key takeaway here is that we believe margins for operators remain under pressure, but owners still benefit from strong time charter earnings. The graph on the right tracks secondhand and newbuilding prices for container vessels. Secondhand prices have stabilized at high levels, reflecting scarcity of modern tonnage and strong residual values. Newbuilding prices remain firm, supported by full order books and higher input costs. Asset values are resilient, but prices for newbuildings remain elevated. Now that we've covered the container market, let's take a closer look at the carriers, the liner operators and how they are positioning themselves for the future. Over the past years, and that can be seen on the left-hand side in the graph, carriers have made a significant financial shift. They've moved from historically high leverage ratios to a position of strong capitalization. The stronger balance sheets give them resilience in a volatile market and the flexibility to invest strategically going forward. What we are seeing now is a clear emphasis in terms of focus of the liner strategy on terminal access as a key competitive advantage, ownership or long-term partnerships are key to ensuring reliability and cost efficiency. Market share still matters, but reliability and service quality have become just as important for customers. Integrated terminal and line operations help carriers maintain schedule control and deliver a better customer experience. On the fleet side, carriers remain opportunistic in the secondhand market, where we see a number of transactions driven by liners, i.e., they are taking advantage of attractive pricing when it appears. At the same time, they're advancing their newbuilding programs, and we now see this taking more and more shape in the small and midsized segments as we have anticipated during the last couple of quarters. Often, this involves partnering with owners and tender processes or bilateral deals to secure competitive positions, but liners are very selective with only a few owners being invited to these processes. So overall, carriers are entering this next phase with stronger balance sheets, a sharper strategic focus and a disciplined approach to fleet renewal, positioning themselves well for operational reliability, the energy transition and importantly, for us, as owners, building slack into their network to better absorb disruptions. With that in mind, let's move on to the next slide. Now that we have looked at the carriers positioning, let's turn to supply and demand fundamentals, starting with the supply side and then the trade growth outlook. The first graph on the left shows the order book and what stands out is that it's heavily geared towards the larger vessel sizes. In contrast, with the 1,000 to 6,000 TEU segment, the segment in which we are active, more than 800 vessels are over 20 years of age. This aging fleet means we expect the need for additional tonnage in the smaller sizes going forward, especially to serve regional and niche trades. The second graph on the right-hand side highlights the trade growth outlook. There are 3 key drivers here. First, stronger GDP growth in emerging markets compared to advanced economies will underpin demand. Second, the diversification of sourcing strategies, companies spreading productions across multiple regions will continue to drive robust volume growth. And third, intra-regional trades remain critical. In fact, 98% of vessels deployed in these trades are smaller than 5,100 TEU, reinforcing the need for smaller ships in the global fleet mix. So when we look at supply and demand together, the picture is clear. While the order book is concentrated in larger vessels, the aging smaller fleet and strong intra-regional demand point to a structural need for renewal in the midsize and smaller sectors. As we look ahead on Slide 14, the market continues to be shaped by a range of uncertainties. But these challenges also present opportunities, the very forces disrupting global shipping are acting as catalysts for innovation, differentiation and also long-term resilience. Looking at U.S. policy, firstly, they continue to create a volatile container market environment and a volatile global economic environment in total. Ongoing uncertainties around tariff announcements mean trade flows and demand outlooks could be impacted at short notice. Secondly, the Red Sea situation. This remains fluid. Recent statements suggest carriers may resume transits, but timing is still uncertain. A safe passage becomes viable, carriers are expected to gradually leverage this route to cut transit times and costs, which could lead to periods of excess capacity. Third, the intra-regional trades continue to show resilience. Container trades into emerging markets have recorded consistent volume increases in recent years. Looking forward, these trades are forecast to outperform mainland routes, driven by regional consumption and sourcing diversification. And finally, the fleet picture. Despite an uptick in newbuild orders for smaller sizes, feeder vessels remain an underinvested category. There simply isn't enough replacement tonnage to keep pace with the aging fleet currently on the water. So while uncertainty persists, these dynamics highlight where opportunities lie, particularly in regional trades and particularly in smaller vessel segments. And with that said, let me turn to the next part of today's presentation, the company outlook. And I would like to start with Slide 16 with our charter backlog. On the left-hand side, where you can find some details on MPCC's forward coverage illustrating that we've advanced the coverage significantly for '26 and '27 and beyond, as also alluded to by Moritz. As furthermore explained in detail by Moritz, we have utilized the strong charter market during the past few weeks and months, in particular, also concluding forward pictures. On the back of this, in combination with our newbuilding program, we have added additional volume to our backlog and we now have a revenue backlog of $1.6 billion and a projected EBITDA backlog, which stands at around USD 1 billion. In terms of charter coverage, the year 2025 has been covered already months ago, and we are now also well covered for 2026 with 92% and 2027 with 55% in terms of operating days. The degree of forward revenue visibility for the next years has, in fact, never been better than it is today. On the right-hand side, you can see how the revenue backlog has developed over the last 12 months in terms of backlog consumed and backlog added to the now USD 1.6 billion. Taking rational and prudent decisions has been the backbone of how we navigate MPCC's fleet in the market, and we will continue to do so in the best interest of our customers and our shareholders. Let's look at some measures that we have taken in terms of enhancing our fleet and also let's spend some time on how we will move forward strategically. In the current market environment, global developments from geopolitical attention to economic uncertainty and regulatory changes, they continue to shape the industry. While these external factors remain significant, our priority is clear: to execute on our strategy and focus relentlessly on the areas within our control, doing so with discipline and precision. This slide illustrates the results of executing that strategy over the past couple of years. We do believe that having an efficient modern fleet that is commercially attractive to our customers, the liner companies is the foundation for long-term success at MPCC. Consequently, over the past few years, we have taken a number of measures to enhance and renew our fleet. As explained by Moritz earlier, our approach to fleet renewal is strategic and multifaceted. Investing in our existing fleet on the water, including substantial retrofit measures, acquiring eco-tonnage in the secondhand market and contracting newbuildings with attractive charters to top-tier liner operators attached ensuring prudent derisking of our CapEx. On the top left of the slide, you can see how our fleet has transitioned from a purely conventional fleet to one where 75% is now of eco nature. But fleet renewal is only one part of the story. We have also placed a strong emphasis on other aspects of the business. On the right-hand side of the slide, you will see some KPIs that reflect the execution of our balanced strategy. Revenue backlog has grown from $1.1 billion to $1.6 billion from '21 to '25. At the same time, during that period, we have distributed more than USD 1.1 billion in dividends. We have freed up collateral ensuring high balance sheet flexibility and investment capacity. And as mentioned, we have invested USD 1.2 billion in retrofits, eco tonnage and newbuildings, improving the average age of our fleet significantly from a 2007, built year on average in 2021, to 2014 today. And last but not least, we have also reduced the CO2 intensity by 43% compared to the 2008 baseline. These results -- all of these results actually demonstrate how disciplined execution and strategic investments have strengthened MPCC's position for the long term. Moving on to Slide 18. At MPCC, proactive management is not just an operational principle. It's embedded in our strategy and it drives long-term value creation across cycles. Let me explain our thinking in that respect on how we approach things. Firstly, we maintain a clear strategic focus on the intra-regional container shipping market where we see structural resilience and attractive fundamentals. Our approach to asset acquisitions is cycle aware and risk-adjusted, ensuring we act decisively when opportunities align with our return profile. Fleet transformation has been accelerating through strategic newbuild projects and targeted retrofits, positioning us for efficiency and compliance. Today, 75% of our fleet on a TEU basis consists of eco-efficient vessels, including newbuilds, eco vessels and retrofits, this, we believe, will be a key differentiator in the years ahead. Our proactive chartering strategy with extensive forward fixings provides strong financial and commercial visibility, reducing volatility. We have built a broad funding base at lower cost of debt, supported by debt-free vessels and moderate leverage. This preserves investment capacity, allowing us to continue fleet transformation and seize opportunistic acquisitions when markets present value. This proactive approach is anchored in our strategy centered around MPCC and our people onshore and at sea and designed to be a good partner to our key stakeholders. As you can see on the right-hand side, we have identified a number of key stakeholders, including our customers, to which we want to be and we will be a reliable and strategic partner and having executed and offered various strategic transactions and structures for top line operators recently. We believe we are on a good track. To financing partners, we are conservative, yet agile partner, maintaining moderate leverage while tapping diverse funding sources, innovative, but disciplined. To shareholders, we are a good steward of capital across cycles with deep market insight and a prudent adaptable capital allocation strategy. We focus on what we can control, executing rational transactions with attractive risk return profiles, maintaining balance sheet flexibility. In short, proactive management is how we translate strategy into action, delivering reliability, sustainability and value across all stakeholders. Before we open the floor for questions, let me summarize the key takeaways from today's call. Firstly, Q3 2025 has been another strong quarter for MPCC driven by high fleet utilization and solid operational execution. We have secured $1.6 billion in charter backlog, ensuring full coverage for '25 and 92% and 55% coverage for 2026 and 2027, respectively. This provides a very good visibility and stability in an otherwise uncertain market. We continue to divest all the vessels and renew the fleet, reinforcing our long-term competitiveness and sustainability profile. Our approach combines recurring distributions with attractive growth opportunities, creating long-term value across cycles. While the market outlook remains uncertain, MPCC focuses on what we can control, leveraging opportunities, driving fleet transition and maintaining a robust balance sheet. In short, we remain committed to delivering value for all stakeholders throughout disciplined execution of strategic agility. With that said, let's open the floor for questions.
Moritz Fuhrmann: So for the Q&A, we have the first questions trickling in as we speak. We'll take them one by one. The first question is of operational nature. Can you provide some color on the increased vessel OpEx compared to the third quarter of '24? Looking back at the third quarter of '24, it was a bit of a seasonal out layer, meaning the OpEx was quite low. Going back even further one quarter -- second quarter of '24, the OpEx was around $7,500. So a bit more in line with what we see today. It is true that the OpEx this quarter has been a bit elevated. That is for insurance reasons. There has been some deductible, so to speak, one-off items that we expect to normalize in the remainder of the year.
Constantin Baack: Then there is a question related to the Red Sea and what will be the impact of Red Sea reopening on feeders specifically in your estimation? Yes, thank you for your question. We touched on this to some extent in the presentation, but I'm, of course, happy to elaborate in a bit more detail on the Red Sea situation. Maybe starting from a high-level perspective, potential Red Sea reopening would primarily affect Mainlane container services and larger vessels on Asia-Europe routes, while the direct impact on smaller container ships is likely limited. So that's the direct impact, and that's basically linked to the type of vessels that go through the Suez Canal usually. Indirect efforts, however, could obviously arise through changes in transshipment hubs, in feeder schedules, in networks and regional connectivity as carriers then obviously adjust their networks back to a Red Sea passage open mode. However, our expectation is that normalization may lead to periods of overcapacity, of course, and then that will influence the overall market and also the smaller sizes as well. Having said that, the situation remains quite fluid. And whilst major liners have communicated that they have plans to cautiously resume Red Sea transits. We think this will take a couple of quarters to gradually unwind the rerouting of the Cape, which obviously is on the cards for '26 in our view as well. But kind of -- it's about balancing security, insurance, network adjustments, potential congestions, et cetera. So there are various factors to be taken into consideration. And I think just to put a few numbers to it, the rerouting, as I said, has predominantly tied up the larger vessels. And according to Clarksons, around 720 vessels with an average size of 14,000 TEU are still diverting via the Cape. So smaller vessels have really seen negligible impact to that effect. So that's kind of our assessment when it comes to the impact of potential Red Sea reopening.
Moritz Fuhrmann: Then we have 2 similar questions on the asset disposal side. Is the sale of the Felicia still expected to go forward for USD 12.3 million. Could you talk a bit about what went wrong with the sale? So shortly before handing over the vessel to the respective buyers, a legacy case has resurfaced prompting official authorities putting a maritime lean on the vessel, which essentially means prohibiting us from handing over the vessel to the buyers. Luckily, the sales contract is structured in a way that we have a relatively wide delivery window stretching into -- stretching well into 2026. So as we speak, we're working together with the official authorities to get rid of that lean and then parallel also obviously with the buyers trying to deliver the vessel to them at some point in the future. For the time being, the vessel is on time charter and us still being the owners, obviously, we benefit from that locked in cash flow on that specific vessel.
Constantin Baack: Then there is a question regarding the newbuilds. Could you talk about the purchase options for additional newbuilds? When do they expire? Do you think they are likely to be exercised? First of all, there are some of the options that we held -- have already expired, in particular related to the earlier newbuilding orders earlier this year, whilst others run until early 2026. So we are in active discussions on further newbuildings, including related to the options. We believe the deals that we have done this year are attractive. And we are, hence, considering to possibly do more. But that's kind of where we are on the options. Then there's, I would say, a related question and more on the fleet, and that is should we expect additional sales over the coming quarters? Or do you view rechartering as a more attractive proposition? I think it's -- as always, a bit of a balancing in the end, the mix of a mathematical calculation and also strategic consideration when it comes to the fleet profile. We are and we have done a number of forward fixtures. We are, at the same time, also in discussions to do more forward fixtures, but there's also a pretty healthy secondhand market with vessels actually not just being chartered out on forward positions, but also being possibly sold on forward positions, and we are exploring both. What I would say as a general comment is that looking at the charter coverage for next year, 92% and '27, 55%, we do believe that in the coming weeks and months, unless you know the market completely goes sour, which again, we don't expect that we would see through a mix of vessel sales potentially, but also some additional forward fixes that we will be able to increase the coverage certainly for '27 as a result of that. And therefore, we do believe -- and again, these decisions about chartering or selling are linked to condition of the vessel, design of the vessel, attach charter of the vessel also, to some extent, dry dock cycles, et cetera. So there are a number of factors that we always consider. And as you have seen over the last years, sometimes the decision is then to charter the vessel out and maintain the optional value at the end of the charter with more upside and sometimes the decision is to sell. I think currently, we are in a market where we're both depending on the specific vessel, options are available. And I would not rule out that we will also be a seller of ships in the near future, but I will definitely also think that we will see more forward fixtures from us in the weeks and months ahead.
Moritz Fuhrmann: Then we have a question on the vessel and the lifetime of vessels. Do you think old vessels will keep getting new classification as long as the market is good or could future environmental demand force scrapping earlier even if the market is good. Could a 30-year-old ship get a new classification if the environment is not an issue and the market is good? I mean theoretically speaking, even a 40- or 50-year-old ship can get a new classification. It obviously is an economical and a financial decision, as you say, if the market is good and the income justifies paying a high price, which it is today, bringing a vessel through the fourth, fifth or even sixth dry-docking cycle. We believe that age becomes less and less relevant. So looking at the environmental impact becomes more important. And why do we think that? Because we have, in our own fleet, for example, retrofitted 20-year-old vessels, making them 20% or even more than 20% efficient relative to peer vessels, and that sort of age bracket. So age becomes less relevant. And with those retrofits, we are making sure that these vessels, despite of the age will be in compliance with the regulatory pressure going forward. So it's a bit of a mix of financial view on the vessel and also the vessel itself being eligible for a retrofit. There are certainly vessels where a retrofit will not achieve the efficiency gains that we have seen on our vessels. So yes, we have retrofitted 20-year-old ships, and can they trade up until 30, 35 years? Yes, certainly. But there will also be obviously a financial element to that calculation.
Constantin Baack: Then there is another question, which is reserving some parts of dividend payout for investment has been a reason for share price drop in Q2. Does it mean that at some point, MPCC will return to pay high dividends again? Or this will be followed as a strategic approach to reinvest more and add value to the company instead of being a sole dividend payer in future? Okay. So it's basically a capital allocation question here, the way I take it. And let me say that I think share price dropped in Q2, I would not solely attribute that to the adjustment of dividend policy. I think a lot is also sentiment driven. I mean Q2 was obviously the hey days of the initial period of the Trump administration with a number of curveballs and uncertainty on global trade, et cetera. As far as the capital allocation question is concerned in terms of high dividends versus investments, the way we see it is that we have introduced now a balanced capital allocation or payout strategy, which provides return to shareholders, return of capital to shareholders, but at the same time, allows the company to continue to develop and continue to create long-term value, which is in the best interest of the company, its stakeholders and its shareholders. And therefore, we have reallocated and have decided that earlier in the year to reallocate some of the otherwise, dividend amounts to also grow and invest. Had we just continued to pay out dividends, we would basically be unwinding a company that, in our view, has a very good value, has a very good value proposition. And I think, in particular, also the transaction that we have concluded this quarter are a reflection of this. And that applies to both the forward fixing as well as the newbuildings and the fleet renewal. And as we have discussed throughout the presentation, having a 75% kind of equal fleet on the water now whilst operating on a moderate to low leverage scenario, we believe this is a very good basis for a continuation of adding value and creating long-term value to shareholders. So never say never on dividends, but I think we now have a balanced dividend policy out there. And for the time being, we see significant opportunities in the market. We believe the newbuildings that we have done are very attractive and we believe this is also attractive going forward to possibly conclude on a few more on that route.
Moritz Fuhrmann: Then we have a CapEx-related question. Can you add some color on the dry docking schedule for '26, '27 relative to '25? Only speaking for the coming year, we expect of having 18 dry dockings next year, which is a relatively strong increase from the number of dry dockings that we have had this year, although it is slightly below the year before. So 2024, we had around 20 dry dockings. Now for '26, we expect to have 18 dry docks. So it's quite an operational challenge, making sure all the vessels are being docked properly. But we've been there before. So we have a fair share of experience of managing as many vessels going through dry docks in Europe and in the Far East.
Constantin Baack: At least for the time being, there are no further questions, we would hold up the line for a bit. But since there have been a number of questions raised and we don't see anything coming up. We would conclude the call at this stage. Thank you, everyone, for your interest and for the questions and the engagement. We -- just to sum it up, we believe it has been a very good quarter in many aspects, in financial and operational performance, but certainly also in adding value for the future, providing the forward fixtures, some additional newbuildings, and we are excited about the next quarters ahead and looking forward to staying in touch. All the best. Take care. Bye-bye.